Operator: Good day, and thank you for standing by. Welcome to the Viridien Q2 2025 Financial Results Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Alexandre Leroy. Please go ahead.
Alexandre Leroy: Good morning, and good afternoon, everyone. Thank you for joining us today for Viridien's Q2 2025 Results Presentation. I'm Alexandre Leroy of Investor Relations and Corporate Finance. We are hosting today's call from Paris, and I'm pleased to be here with Sophie Zurquiyah, our Chair and CEO; and Jerome Serve, our CFO, who will walk you through our Q2 2025 results. Before we begin, a few housekeeping items. This call is being recorded and accessible via both phones and online platforms. An audio replay will be available shortly on our website, www.viridiengroup.com. The presentation slides are also available for download from the website. Please note that today's presentation includes forward-looking statements. Actual results may differ materially from those expressed or implied today. Relevant risk factors are detailed in our 2024 Universal registration document filed with the French Financial Market Authority, AMF. As usual, we'll conclude with the Q&A session. And finally, a quick reminder that the Viridien comments primarily on segment figures, which reflect our internal management reporting. This differs from IFRS numbers also published today due to IFRS 15 impacts on our Earth Data business accounting. With that, I'll now hand over to management, starting with Sophie, who will take you through the key business highlights for the quarter.
Sophie Zurquiyah-Rousset: Thank you, Alexandre, and good morning, good afternoon, ladies and gentlemen. I'm on Slide 2. In Q2 2025, despite the challenging environment with tariff uncertainty, geopolitical instability, oil price volatility and foreign exchange fluctuations, we delivered another solid quarter marked by sustained business momentum and consistent financial execution. Segment revenue reached $274 million, up 6% year-on-year, reflecting strong demand for our unique expertise and differentiated product offering. Segment adjusted EBITDA came in at $107 million, up 14% year-on-year, confirming our ability to translate top line growth into profitability, while continuing to execute on our SMO restructuring plan and fully benefiting from the positive impact of the end of EDA vessel agreement. We concluded the quarter with $30 million in net cash flow, underscoring our enhanced ability to generate cash flow from operations, thanks to our differentiated technology and a significantly more flexible asset-light business model. On the strategic front, we continue to build on the leadership of our 3 core businesses. In Geoscience, our differentiation continues to grow and our expertise is increasingly sought after across a broader range of geographies. Notably, we've secured more work from clients who maintain strong internal teams and technology development. It's an important endorsement of our capabilities and a strong driver for future growth. In Earth Data, we launched new ocean bottom nodes projects, OBN projects in our core basins, maintaining strict portfolio discipline, fully aligned with our cash-focused, balanced risk return approach. And in Sensing and Monitoring, we achieved another innovation breakthrough, reinforcing our technology leadership in the Land business with the launch of our new [indiscernible] technology and the next generation, which is the next-generation [ land nodal ] solution. We also continue to execute on our restructuring initiative, which is progressing according to plan and delivering the expected margin improvement. We are reaffirming our 2025 guidance with $100 million net cash flow target. Given our leading competitive positioning, strong backlog, active client discussions and continued operational discipline, we are confident in our trajectory and in our ability to deliver on our cash generation objectives. Before diving into our Q2 2025 results, let me take a quick step back to remind you where we are today as 2025 is our first year as a truly asset-light company and is a key milestone for Viridien. So I'm now on Slide 3. Our strategy is defined around 3 pillars. The first pillar is about continuously strengthening our Core business. We strongly believe that oil and gas will be required for many years into the future to support a rational energy transition. And in most market scenario, our clients will need to improve their portfolio performance and ensure their reserves replacement is increasing. So we looked at our top 15 clients and their reserve life has been consistently dropping over the last 10 years. Oil prices may continue to fluctuate in the short term, but all fundamentals still point towards a relatively solid longer-term outlook for our core markets, and we intend to keep excelling there. The second pillar is about selectively developing new markets. The fact that oil and gas will remain critical for the long term doesn't mean we shouldn't prepare for a sustainable future and strengthen our transition. And we're doing so with several initiatives that you're already familiar with, leveraging our unique competitive strength. Our exceptional technical teams with their deep mathematical, scientific, high-performance computing and coding expertise, our rich Earth Data assets and our ability to maximize the value we extract from them and our industry-leading technologies in Geoscience, Imaging and Sensing and Monitoring. These give us the ability to deliver unprecedented subsurface images and breakthrough products. The third pillar is about delivering operational excellence across everything we do. We fully recognize the importance of cash generation. Deleveraging remains a top strategic priority. We are relentlessly focused on performance and discipline at every level of the company from leveraging AI to ensuring the highest operational efficiency. Turning now on to Slide 4. For those of you who may be less familiar with Viridien and the seismic value chain, let me highlight an important point. We are now completely out of the seismic data acquisition services business, having refocused on asset-lighter, technically differentiated, high value-added segments. Providing seismic acquisition services is about the management of assets and crews with the collection of subsurface data using source and receiver technology. Whether offshore or onshore, this means deploying vessels or land crews with various tools to capture seismic signal. This is a high fixed cost, asset-intensive business, where the key challenge and value generated is mainly around reducing costs and maximizing asset utilization. We exited this commodity business, which is the Data Acquisition business to focus on our 3 differentiated technology businesses with our Sensing and Monitoring Systems and Solutions success depends on offering leading technology, industrial efficiency and operational reliability. Our Sensing and Monitoring business is recognized for the quality and the robustness of these equipment solutions, and we have made a significant progress in lowering our fixed costs. Second, in multi-client data licensing, which is our Earth Data business, success hinges on having the right data, in the right place, at the right time. This requires flexibility, being close to our clients, making smart basin selections, structuring deals intelligently and providing excellence in the final product. These together are what ensures strong prefunding, lower risk and higher commercial potential on each survey. And thirdly, finally, in subsurface imaging driven by our Geoscience division or business line, it's all about top-tier expertise, advanced technology and algorithms, optimized computing power and delivering value to clients, which earns us recognition and repeat business. This strategic positioning allows us to focus on expertise-driven, cash-generating activities with higher competitive barriers and better margins. Let me take you to Slide 5 to say a few words about what makes us the global leader in sensing and monitoring. The key words are innovation, quality, optimization and reliability, which together require technological leadership. In this business, we don't just sell leading equipment and systems. We deliver fully integrated solutions, combining products, the software that powers and optimizes their deployment and a full suite of support services. This together ensures operational excellence from crew efficiency to final data quality. To stay ahead, we must be continuously improving our value proposition as well as our industrial structure and processes to optimally deliver our products and services. We help our clients solve their challenges, address their pain points and ultimately optimize the operational performance while delivering the highest quality of data. This is how we differentiate ourselves and build lasting partnerships with our clients, a key driver of both our global leadership and the depth of our installed base. Turning now to Slide 6 for a quick focus on our approach to multi-client survey. multi-client is, by nature, the most cyclical and volatile part of our business, particularly when it comes to late sales. Now that we've exited the seismic acquisition vessel business entirely, we have the flexibility to adopt a disciplined risk-managed approach to multi-client investment. We've chosen a balanced strategy that combines low-risk, low investment reimaging of legacy data, leveraging our geoscience expertise, we add significant value to existing data. So this is the first pillar. Second, strategic core basin enrichment and expansion where demand visibility is strong and where we can leverage our footprint. This is the second pillar. And the third one is a selective opportunistic exposure to higher risk, potentially higher return frontier projects. Our key rule is simple. We are disciplined in selecting projects with strong economics, measured in prefunding and solid commercial potential. Our seismic multi-client strategy is not about volume, but focused on maximizing value creation and cash generation. Moving on to Slide 7 on seismic subsurface imaging. Geoscience is the global leader in seismic imaging because over the decades, we have been relentlessly building with focus competitive advantages that truly matter in this market. First, our people. Our team is second to none with over 300 PhDs in mathematics, physics, engineering and geosciences recruited globally. Out of 100 applicants, only 1% make it through our selection process. This talent base is the foundation of our success. Second, our technology. Though the industry call them by the same brand name like Elastic Full-Waveform inversion, we developed unique highly advanced proprietary algorithms that are suited to a large variety of subsurface challenges, now even further enhanced by AI-driven models. Our subsurface imaging technologies are second to none being consistently rated #1 in the external Kimberlite survey. We also operate around 600 petaflops of computing power in highly optimized and specialized data centers, all fine-tuned specifically for high throughput challenges like seismic imaging. Three, our corporate culture, which is deeply rooted in service quality and a commitment to problem solving, openness and excellence. This unique combination of talent, technology and relentless drive for excellence is what makes Viridien the global reference in seismic imaging. Finally, moving to Slide 8. Let me recall the philosophy behind our selective diversification strategy. We applied 3 key principles when evaluating new opportunities. One, they should preferably enable us to grow outside the oil and gas sector. Second, they should build credibly on our existing expertise, capabilities and technology with minimal dedicated costs or CapEx. And they must offer strong growth potential. We are determined to prepare our future in the smartest, most disciplined possible way. Now I'd like to move on to Slide 10 to cover the quarterly performance review, starting with Geoscience. Q2 2025 was a solid quarter for Geoscience with external segment revenue up 10% year-on-year to $115 million. This strong performance was primarily driven by work performed in Latin America and the Middle East. Over the past few years, Viridien has experienced a steady increase in global demand for its high-quality, high-technology subsurface imaging solution. Advanced Elastic Full-Waveform imaging technology represents a significant leap forward in imaging quality, setting a new benchmark in the market. This strong demand has translated into healthy order intake, supporting a robust backlog that underpins our growth, margin expansion and cash generation for the remainder of the year. Moreover, our strategic focus on complex projects, a pivotal role in development and infrastructure-led exploration and our strong relationships with less oil price-sensitive clients such as international -- key international oil companies and national oil companies provide a solid foundation of growth and resilience for our Geoscience business. On Slide 11, we highlight a compelling example of how we have expanded our service offering by leveraging the high fidelity subsurface images we produce. Traditionally, these tasks were handled by our clients using laborious and time-consuming techniques. By turning to Viridien, they now benefit from our advanced AI suite and high-performance computing capabilities, enabling faster, more efficient and more effective results. In early 2023, Viridien completed the full processing of the largest ever OBN, ocean bottom node acquisition program in the UAE. Covering 26,000 square kilometers, the project deployed more than 2 million sensors and generated around 700 billion seismic traces amounting to several dozens of petabytes of data. This was a monumental technological challenge, successfully met, thanks to our deep expertise and proprietary technology. Today, we are empowering our clients with extensive interpretation insights derived from the resulting seismic images using our advanced AI suite. The scale and complexity of this data demand exceptional computing capabilities, software, middleware, power and storage, all optimized for the immense data and high-throughput HPC requirements, something only Viridien can deliver effectively. Off-the-shelf commercial platforms and cloud solutions simply cannot handle seismic images with the efficiency, precision and scale that we provide. Ultimately, our seismic imaging expertise powered by bespoke high-performance computing remains a key competitive advantage. We continue to build on this strength to further expand our market presence and deliver unmatched value to our clients. Now turning on to Slide 12 for the Earth Data performance review. Q2 2025 revenue declined 8% year-on-year following a strong Q1 2025. Overall, as expected, multi-client performance for H1 2025 is relatively flat with H1 2024. In Q2, we started 2 surveys involving OBN acquisition, one in Norway and another in the U.S. Gulf with good prefunding. We remain confident in the outlook for our multi-client business, supported by the strength of our modern strategically focused data library and the relevance of our new projects, both in terms of industry alignment and commercial potential. As of the end of June 2025, our library's net book value stood at $508 million, primarily composed of recent technologically advanced data sets. These are concentrated in our core basins, the 3 most active offshore regions for our clients: offshore Norway, offshore Brazil and the U.S. Gulf. I'm now on Slide 13. Earlier, I mentioned our disciplined approach to multi-client project investment. The Brazilian Equatorial margin is a prime example of our prudent and strategic entry into emerging basins. Located offshore in the North and Northeast Brazil, this region is highly prospective with the petroleum system analogous to the prolific Guyana-Suriname Basin, one of the most active exploration hotspots in the recent years. Viridien is among the few players with existing data coverage in this area, and we currently hold the largest footprint. The region is drawing strong interest, particularly from Petrobras, which has designated it as a priority in its 5-year exploration plan. Recent Brazilian licensing rounds also confirm growing interest for both international and national oil companies. In short, this is a commercially attractive basin. As it remains in the early stages of exploration, we are proactively securing partnerships to support our upcoming multi-client projects. This collaborative approach allows us to share risk and optimize capital expenditure while positioning ourselves for long-term success. Now moving on to Slide 14, covering Sensing and Monitoring performance. In Q2 2025, SMO revenue grew by 14% year-on-year, reaching $93 million. This growth was primarily driven by strong land activity supported by sustained commercial momentum. Notably, we delivered significant volumes of our WiNG nodal systems in South America and 508 cable system in the MENA region. Among our SMO new businesses, infrastructure monitoring recorded double-digit growth, while our Marlin Offshore Logistics solution achieved encouraging early commercial traction, including a contract signed with ONGC as announced earlier in the quarter. We remain confident in the outlook for SMO, underpinned by our large installed base and the globally recognized quality and reliability of our products and solutions. And finally, our restructuring plan is progressing well with implementation completed in France during Q2. The positive impact of these efforts is already reflected in SMO's financial performance. And finally, on Slide 15, I'd like to highlight a major milestone achieved by our team. At the EAGE conference in June, which is our industry -- an important industry conference, we officially launched Accel, the world's first drop-only land node. This breakthrough innovation is the result of years of close collaboration with clients, extensive field experience and focused R&D. Accel is purpose- built to enhance operational performance in desert environment and high productivity surveys, enabling clients to reduce operating costs up to 30%. Its drop-only deployment method is the fastest ever introduced, significantly improving the efficiency of seismic campaigns, which are amongst the most logistically and resource-intensive operations in the industry. We are already seeing a strong client interest in this 2-step change in onshore acquisition, which is setting a new benchmark for the sector and reinforcing Viridien's leadership in seismic technology innovation. With this, I hand over to Jerome, who will take you through the financial performance review.
Jerome Serve: Thank you, Sophie. Good morning, and good afternoon, everyone. I'm now on Slide 17. As Sophie has already provided a detailed overview of the activity this quarter, I won't go into too much detail here. Overall, in H1 '25, we generated total segment revenue of $575 million, up 8% year-on-year. In Digital Data and Energy Transition, our DDE segment, which includes Geoscience and our Data businesses, segment revenue reached about $400 million, up 9% compared to H1 '24. Meanwhile, Sensing & Monitoring delivered $180 million of revenues over the H1 period, representing a 6% increase year-on-year. Turning to Slide 18, a few words on profitability. Group segment adjusted EBITDA reached $250 million in H1 '25, up 25% year-on- year or $50 million more than H1 '24. This solid performance was mostly driven by our DDE segment, where margin exceeded 60%, up 500 basis points. DDE delivered $40 million of incremental EBITDA, thanks to a higher Geoscience activity with strong margin conversion. And secondly, reduced penalties in EDA down to -- sorry, $12 million from $25 million last year following the end of our vessel contractual agreement in January. Regarding our Sensing Monitoring division, they contributed to the remaining $10 million EBITDA increase. Margin approached 15%, up 5 points versus last year. And at EBIT level, we are not far from reaching 10%. This reflects both higher revenue and the positive impact of the transformation plan launched 18 months ago, which generated about $8 million in extra EBITDA in H1 '25. Finally, corporate costs slightly decreased, showing continuous cost discipline across all the group. Moving to Slide 19. Here, we do report the IFRS figures for the period. As you can see, the IFRS 15 adjustment is significant this year, minus $83 million on revenues and EBITDA in H1 '25 versus plus $34 million in H1 '24. These adjustments mainly relate in H1 '25 to our ongoing survey in the U.S. Gulf and Norway. As a reminder, IFRS 15 requires our data revenues to be recognized only upon delivery of process data, deferring prefunding revenue and margin of ongoing surveys. This is different from our segment reporting, where we continue using the percentage of completion methodology, which better reflects our business activity and cash generation of the division. Also worth noting on this slide, the cost of debt remains pretty stable post refinancing in March '25. Despite higher coupons due to the increased risk-free rate, this was partly offset by lower spreads, thanks to our improved credit rating and a reduced bond nominal consistent with the deleverage path we started 2 years ago. In other financial income, the minus $34 million mainly reflects to the non- call premium from the March '25 refinancing, along with unfavorable ForEx impact. Moving on to Slide 20 and how all this translates into cash flow. As you can see, we generated $10 million of cumulative net cash flow in H1 '25, including $30 million in Q2 alone. Just as a reminder, as defined in our annual report, net cash flow includes financial charges that exclude one-off costs related to the March '25 refinancing operation. Now if we look at the bridge between H1 '24, where we generated net cash of $24 million and H1 '25 at $10 million, there are 2 key elements that more than offset the $55 million gain in EBITDA. The first one, H1 '24 benefited from a one-off of $38 million cash inflow coming from the settlement of a 10-year old litigation with ONGC, the Indian national oil company. While this was partly offset by the fixed part of our vessel commitment incurred last year, it still leaves a net gap of $31 million when comparing both periods. The second effect is a significant negative change in working capital in H1 '25, mainly due to the overdue receivables from Pemex, the Mexican national oil company, totaling around $50 million at end of June. Note that we are actively pursuing options to monetize part of this exposure. And as a base case, we expect to recover at least half by year-end. A quick word on our debt, which is on Slide 21. As you know, we successfully refinanced our bond at the end of March '25 with good timing considering the volatility that followed. We issued 2 senior secured notes, one in USD and one in euro, replacing the existing one. The USD note is now $450 million versus $500 million previously, and the euro note is $475 million versus $585 million previously, reducing the total nominal value, as mentioned earlier. Maturity was extended till October 2030, i.e. about 5.5 years from now. The refinancing was well received with 3x oversubscription and strong demand from a broad-based international investors. As of June 30, '25, our net debt stood at $997 million, carrying about $80 million of negative ForEx impact versus December '24. We also maintained strong liquidity with $162 million in cash in hand as well as $100 million of undrawn RCF at the end of the semester and the $25 million ancillary facility, which is half drawn. With that, I will hand it back over to Sophie.
Sophie Zurquiyah-Rousset: Thank you, Jerome. I am now on Slide 23 to share some perspective. The oil price environment has been volatile in recent months, but the commodity remains above $60 a barrel, which we consider a general equilibrium for the industry. And in this context, oil and gas companies have largely maintained the exploration and production and development plans, especially in our core segments, offshore markets and business with major industry players. Assuming no major disruption to the current environment, we approach H2 2025 with confidence given our active client discussions and continued operational discipline. And we're supported in particular by a solid backlog in Geoscience, upcoming licensing rounds that should sustain our multi-client activity and continued broad-based demand in Sensing and Monitoring, especially for Land solutions. We reaffirm our target of generating around $100 million in net cash flow for the full year of 2025. And to conclude, Slide 24 recaps the key elements of the Viridien investment case. Viridien continues to perform reliably, supported by the strength of our team, our technology leadership, our asset-light approach and focus on operational efficiency. These competitive advantages support our ability to grow profitably and generate consistent cash flow from operations. We remain firmly on track on our deleveraging journey while responsibly preparing for the future to ensure the group's long-term sustainability. Thank you all for attending the Q2 2025 call and for your attention today. We'll now open the floor for questions. And the operator, please start the questions over the phone.
Operator: [Operator Instructions] And your first question today comes from the line of Guillaume Delaby from Bernstein.
Guillaume Delaby: Three questions for Jerome regarding the cash flow statement. So first, on Slide 20, can you remind us why the cost of debt in Q2 2025 is only $1 million -- negative $1 million. So this is my first question. On Slide 20, cost of debt for Q2 2025...
Jerome Serve: Sorry. Yes, because as part of the refinancing, we paid our interest cost in Q1. And so that's basically the...
Guillaume Delaby: Okay. So second question, the increase in debt comes from, I would say, mainly from the negative foreign exchange impact on your bond. I think this is correct?
Jerome Serve: Correct. Yes. There is -- at the net debt level, there is about $80 million of ForEx impact between December '24 and June '25. December '24, $104 on the euro to dollar exchange rate; June, $117. So that's a massive depreciation of the dollar as you know.
Guillaume Delaby: Okay. Third point. So in your $100 million free cash flow guidance, you expect to cash back half of the Pemex receivable. So I think Pemex is currently being refinanced through a $12 billion program. So qualitatively or quantitatively speaking, do you feel today slightly more confident in your $100 million free cash flow guidance and I will turn over.
Jerome Serve: I mean we reaffirm our cash flow target. So yes, we are confident in reaching this $100 million. As we said, we are proactively pursuing different options for the collection of this Pemex overdue. The first one being chasing Pemex itself. And the other alternatives is for reverse factoring and factoring scheme that we are discussing actively with banks.
Operator: Your next question comes from the line of Jean-Luc Romain from CIC Market Solutions.
Jean-Luc Romain: Two questions on SMO. First, on the potential of Accel, do you see this as a new [ 408 or 428 ] acquisition system in terms of potential revenue? Second, on the Marine revenue, it's striking that over the last few years, Marine revenue has never quite recovered. Do you see any inflection point? Or do you see the marine market definitely, I wouldn't say lost, but difficult.
Sophie Zurquiyah-Rousset: Okay. Thank you, Jean-Luc. So 2 questions on Accel potential. I think it has a huge potential. There is the -- it will certainly, with time, start replacing the revenue from the cable system. Right now, we have a large installed base, mostly of the cable system, and we do continue to sell those to complement and replace some of the existing installed base. Now for the future, the market is moving towards node systems because they're more flexible and probably cheaper to operate. And we believe we have a very strong value proposition with the system. And what I can tell you is that the system will preserve our margins, right? So we've worked it out on the cost side that we can deliver the same amount of more margins that we've been delivering with the cable systems. So it does have a very strong potential because that installed base, which is the case of marine, by the way, is aging and eventually, clients will be switching. So those who aren't switching are buying replacement parts, but eventually, there will be a gradual shift to system. So I do expect a ramp-up with this Accel system. On the marine side, what drove the revenue in the last few years was the equipment with acquisition company equipping themselves with OBN, cushion bottom node shallow -- in shallow waters, very, very much driven by the large campaign in the Middle East. And in a way, we have saturated the market with those shallow water OBN. I think the acquisition company have what they need for their projected activity in the next few years or so. So the next opportunity to ramp up with OBN will be with deepwater OBN, which is eventually going to be becoming more active because the basin, the deepwater turbines in the world offshore are very much deepwater. And the acquisition companies will be needing eventually more deepwater OBN to respond to the needs. And there are Chinese companies, acquisition companies that want to enter that market. So that's another additional opportunity to sell deepwater OBN. So we're targeting that market with the Marine. And as always, we think there will be some and there is already and we sell some streamers as a replacement. It's not a high volume because, as you know, the number of vessels have been down, but we do sell some streamer replacement as well. But the big numbers and changes you've seen over the last few years have been driven by that OBN equipment.
Operator: Your next question comes from the line of John Olaisen from ABG Sundal Collier.
John A. Schj. Olaisen: Maybe my first question goes to Sophie. Some other oil service companies like SLB, Halliburton and Baker Hughes have expressed weakness in the outlook for the second half, in particular for short-cycle markets, which arguably your industry is. But your outlook comments seem to be more optimistic than some of your peers have expressed. Is that correctly interpreted?
Sophie Zurquiyah-Rousset: To a certain extent, it is. Because if you start digging into where the softness was, a lot of it was North America, a lot of it was Mexico and Saudi Arabia. And those are markets that -- where we don't see similar softness. We're not as exposed as they are to those markets. So in general, we are in markets offshore, deepwater, where our clients, which is you're talking here national oil companies that have a long-term view or large IOCs are definitely taking a longer-term perspective to exploration and development. So in general, we see more stability. Arguably, if you look at the history of E&P CapEx, our subsector has been the one most affected by previous cuts. And what we're seeing right now is the cuts are going more into other bits of the value chain and the drilling -- certainly U.S. land, the drilling and driven by some of the clients, some of the NOCs, particularly in Mexico [indiscernible].
John A. Schj. Olaisen: So how do you see the general market then for the second half? Is it flattish? Or is it even improving? What's your general view?
Sophie Zurquiyah-Rousset: I think I would call it flattish, and that's -- my comment is saying that as clients are starting to arbitrate. So first of all, we're 2025. Most clients have been asking what are they going to do with their E&P CapEx this year. They're pretty much -- the answer has been we're keeping course. Some of them are saying we're growing, we're shooting to the low end of the brackets that they had given. But generally, they are staying the course. So we're seeing that stability in 2025 with here and there some delayed decisions and -- but they are -- the positive side is we have some lease rounds and there are some external factors that are sustaining our activity. Now going into 2026 could be a bit of a different story. It depends on the outlook of oil price for next year. As you've seen, the Q2 results from our clients has been softer because the oil price for Q2 was lower. And it really depends on what assumptions they're going to be making for 2026. If the oil price is $60, I expect a bit of softness. If it remains at $65, $70, right now, it's $72, it should be really a continuation and even go up in a scenario where the oil price staying at above $70. So it depends. They're working through it and their budgets are starting now. So we'll have a better view in Q3, Q4.
John A. Schj. Olaisen: But if I look at the mix in the Q2 numbers, multi-client or Earth Data sales were down year-on-year, while the Imaging business is very strong. Is that something you continue to -- expect to continue to see in the second half, that trend?
Sophie Zurquiyah-Rousset: So John, you know this industry quite well. You cannot read into a quarter. It is a very -- there's a lot of cutoff effects. First of all, I would advocate you to look at multi-client over H1. And if you look at H1, actually, our aftersales, which is sort of a nice indicator is actually up year-on-year. So it is -- it might be down. There has been a very strong Q1, a bit of phasing here. So I wouldn't read too much [ into it ] to project into the second half, given especially there are some important lease rounds that should help drive our business. And I did not mention that maybe in addition to that, there's a couple of transfer fees that should be helpful too.
John A. Schj. Olaisen: And the transfer fee, I guess the biggest potential is from Chevron's acquisition of Hess. Is it possible to give some indication of what timing of the transfer fees and kind of like the size of it, potentially -- how big could it potentially be for you?
Sophie Zurquiyah-Rousset: I would say the timing would definitely be this year. Actually, I'd like it to be earlier in Q3 simply because they closed the deal and they want to be able to move on. We don't disclose the size. And there's a second deal that is happening right now, which is Neo- Repsol in the North Sea. And between those 2, we do expect a sort of an average -- a reasonable average level of transfer fees.
John A. Schj. Olaisen: Say, again please.
Sophie Zurquiyah-Rousset: It's Neo-Repsol. If you remember, Repsol is [ contributing ] U.K. assets into Neo.
John A. Schj. Olaisen: Yes. And did you say something about the potential size of the transaction?
Sophie Zurquiyah-Rousset: These are being -- this is happening as we speak. So the size of the magnitude of the transfer is being evaluated and there are at discussions with clients. It depends really on how much they decide to take on in terms of data, how much overlap there might be between the 2 companies. There's a lot of factors coming into it. We haven't landed the number.
John A. Schj. Olaisen: Yes. All right. And then my final question is back to the question about the net cash flow. Of course, you reported net interest-bearing debt increased by $76 million in the first half, which is roughly the same as the currency impact of $80 million. And I guess on top of this, you had the -- as Jerome -- you commented on you had the costs related to the refinancing. Is it possible to say how much those costs were?
Jerome Serve: For the refinancing?
John A. Schj. Olaisen: Yes.
Jerome Serve: Yes. We had about $20 million of noncore costs for calling the bond earlier than their maturity. And on top, we had another $20 million, slightly above $20 million -- I see about $20 million for adviser fee, including the banks, which [indiscernible].
John A. Schj. Olaisen: All right. So all in all, about $40 million.
Jerome Serve: Yes.
John A. Schj. Olaisen: So according to your definition in this first half, you generated a net cash flow of about $40 million. Is that a correct interpretation? And the second half would be about $60 million to get to the $100 million for the year. Is that the correct interpretation?
Jerome Serve: So the net cash flow by definition excludes the cost of the refinancing. So the $10 million excludes those costs. So to get to the $100 million target, we need to generate $90 million in H2. So how do we go from $10 million in H1 to $90 million in H2? As Sophie just explained you, we expect a stable environment that should probably [indiscernible] activity level. That being said, the cash will benefit from 4 elements between H1 and H2. First, let's say, the traditional seasonality that we have between the 2 semesters. Just to give you an example, we pay our bonuses in Q1. It's a significant number. We're talking $20 million plus that we paid to our employees in Q1. The second effect is the penalty that we incurred in January, which was the end of the contract for over $12 million, and in H2, we had 0. As I mentioned, we -- H1 was impacted by the working capital buildup spreading to the overdues of Pemex. And we said we are confident to partial reduction of this working capital and a partial monetization of this overdue. And the final element is CapEx for our library, which we anticipate to be slightly lower than H1. So all those 4 elements give us confidence that we can generate much more sizable net cash flow in H2 rather than H1.
John A. Schj. Olaisen: Yes. So just -- so I got it right. You expect about $90 million in net cash flow in the second half. So that should mean that net interest- bearing debt should be about $900 million at the year-end 2025. Are there any other costs? No, that's correct?
Jerome Serve: At constant FX, yes.
John A. Schj. Olaisen: Yes. So it should be about $900 million.
Jerome Serve: You have the accrued interest, I think, on top, but I mean it's...
John A. Schj. Olaisen: What do you have on top, I'm sorry?
Jerome Serve: The accrued interest at the end of December because we pay our debt as per the bond documentation in March and end of October.
John A. Schj. Olaisen: All right. And I don't see how that has negative impact.
Jerome Serve: More or less half of your interest cost [indiscernible] 2025.
Operator: Your next question comes from the line of Kevin Roger from Kepler Cheuvreux.
Kevin Roger: I would have 2, please. The first one is maybe on your strategy regarding CapEx on new multi-client survey and nodes. I'm referring to the fact, for example, that during their conference call and earnings presentation, one of your peer and partner, TGS, mentioned that their partner was participating with less CapEx to the new survey. And from what I understand, Laconia in the Gulf of Mexico is probably one of the key example where it seems that your participation to the project is now close to 30%. So I was wondering in terms of strategic investment and the tech that you're going to take in new multi-client survey. How should we think about your positioning inside the industry with those in a way, example that we had from TGS a few weeks ago? And the second one is on Geoscience that continue to be one of the very strong performance unit for you. You still continue to increase the number of petaflops. You are now close to 600. So it has been a massive increase over the past year. At the end, can you again give us a bit of color on how much petaflops you need for external revenue, but also for internal research and development, et cetera, and where you want to go for the petaflops capacity at the group level Viridien, please?
Sophie Zurquiyah-Rousset: So first, your question on the multi-client CapEx. We have a -- as I was explaining, we have a portfolio approach, right? We have 3 buckets. The repro is one where we look at data where we can add value. We look at the core basins and how do we extend our footprint. And we look at the strategically positioning and potentially frontier basins in the future like we did in Uruguay, for example. I was giving the example of Northeast Brazil. Now the other dimension to that is the partnership and more and more, and I did comment on that in the past, we're looking for partnerships because it helps manage the risk of the portfolio. And so we do this opportunistically. And in that case, there was an opportunity to do -- and willingness to do that. We need to do 2 or 3 to be able to do that and where each of the parties see the benefit for doing it. So I'd say you will continue to see us managing our portfolio, investing in the different types of investments. Some are more risky, some are less risky and then continuing to look for partnership on an opportunistic basis to manage the portfolio risk. There is like not one strategy. It's a bit of a case-by-case basis and our appreciation of the given project and the appetite for other partners to join forces. The second one of Geoscience, there's not an exact science to it. When I joined the company 12 years ago, we had 30 petaflops and I thought 30 was an extremely high number. And now we're at 600. And so the petaflops follows the need for more computing as we advance technology. So there's a bit of a -- it goes hand-in-hand with advancing technology, providing value to the client because that's the bit you need to be checking, making sure you can charge for it and then you can deliver value to the client. And so we gradually increase it then in hand. And if we test the market and see that the technology advances bring value to the clients and the clients are willing to buy that technology, we'll continue implementing that petaflop. Keep in mind that our computing is highly optimized. So perhaps to do what we do, if you took someone that didn't optimize their computing power, maybe they need 2 or 3 or 4 or 5x more than our computing power. So it's a big number. But the number in absolute term doesn't mean completely everything, all of it because it is, again, highly specialized and highly optimized to what we do. So where is it going? My suspect, as technologies continues to advance, as we're being more and more precise in what we can deliver using more advanced algorithms, more advanced definition and precision, we think we will cross the 1,000 petaflops in the next few years is my guess. And we do have multiyear plan that eventually takes us there. I can't tell you today when because there's a cost associated to it. And we need to make sure as we do that, that we can deliver the value and charge for it in the market.
Operator: Your next question comes from the line of Baptiste Lebacq from ODDO BHF.
Baptiste Lebacq: Just 2 very quick questions, I guess, from my side. The first one is a technical one regarding Accel and your, let's say, industrial footprint. Do you need to increase your, let's say, capacity? In other words, do you need to put some additional CapEx if there is a strong acceleration of demand? And still on the technical side, is it a solution with no cables between the different node? And second question, Sophie, you mentioned, let's say, the resilience of national oil companies. Could you give us a split of your, let's say, I don't know, sales in DDA, for example, between NOC, IOCs and independent?
Sophie Zurquiyah-Rousset: Okay. So in Accel, what makes it different is it's a node and a node, meaning it's independent by itself. And what that allows to do -- first of all, it's super small, and you could put it in a backpack and you can drop it. And that makes a huge difference from the past. The nodes in the past had to be planted in the ground and that increased the operation. It was more heavier operations. So this one is smaller, can be put in the backpack, a person can be walking and just dropping the node. So that's what makes it different. And as I was saying, the market is generally shifting from cable system when the sensors were connected between each other through cables to just independent nodes that are sitting on the floor. So that's the technical side of Accel, and that there's really an impressive value proposition and the clients are reacting very well to that. The NOCs, they've always been in our mix and sometimes they go up and they go down. But in general, I would say they represent somewhere -- if I look at DDE, somewhere around 20% to 30% of our revenue, and it could vary. SMO is -- we don't sell to E&P companies. We sell to acquisition company. But I'd say in SMO, our exposure to NOCs is even higher because eventually, we're selling to acquisition companies that are very much operated in countries that are NOC-driven like the Middle East, Stan, India, South America. But in the DDE side, it's much more balanced between the different client profiles. Call it 1/3 -- to make it simple, probably 1/3 ICs, 1/3 or 20% to 30% large independents and then national companies. And we work with everyone.
Jerome Serve: I think that is your other question on the manufacturing footprint and the impact of Accel. There is no impact. It's -- the way we manufacture this product like any other product for. So Accel is a mix of in-sourcing -- in-house manufacturing and outsourcing to suppliers. In-house is usually the electronics, and we have the capacity to do another product like Accel in-house.
Operator: [Operator Instructions] We will now go to your next question, which is a follow-up question from the line of Jean-Luc Romain from CIC Market Solutions.
Jean-Luc Romain: Just a follow-up. After the law in the United States [ passes ] a very beautiful law as the administration called it. Do you see a renewed or do you estimate there could be renewed interest in carbon capture and in seismic for carbon capture project as the credits have been extended or something?
Sophie Zurquiyah-Rousset: Yes, Jean-Luc, I'll take that one. It's -- actually, if anything, right now, we're seeing a slowdown in the CCUS space. The -- a lot of our -- a lot of those projects were driven by the traditional oil and gas clients. And they just are arbitrating more towards oil and gas. If you remember throughout the downturn and the energy transition or the COVID era, where energy transition became more important, they cut more their E&P CapEx and created money -- carved out money for the low carbon and other initiatives. And right now, what we're seeing is a little bit the opposite where oil and gas is being preserved more than the carbon sequestration project. So if anything, we're seeing, in general, a slowdown in that space, things being delayed.
Operator: There are currently no further phone questions. I will hand the call back to Sophie.
Sophie Zurquiyah-Rousset: Thank you very much. I appreciate you taking the time at a really, really busy time of the year and for the good questions and wish everyone a good break -- summer break, and we'll see you in September.
Jerome Serve: Thank you, everybody. Have a good night.
Sophie Zurquiyah-Rousset: Bye.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.